Operator: Good day, everyone. Thank you for standing by. Welcome to the Xperi Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mike Iburg, Xperi Head of Investor Relations. Please go ahead.
Mike Iburg: Thank you, Jon. Good afternoon and thank you for joining us as Xperi reports its fourth quarter and full year 2023 financial results. With me on today’s call are Jon Kirchner, Chief Executive Officer and Robert Anderson, Chief Financial Officer. In addition to today’s earnings release, there is an earnings presentation, which you can access along with this webcast on our Investor Relations website at investor.xperi.com. Before we begin, I’d like to provide a few reminders. First, I would like to note that unless otherwise stated, all quarterly comparisons are to the same quarter in the prior year. In addition, the first three quarters of 2022 were calculated on a carve-out basis prior to Xperi separation from Xperi Holding Corporation on October 1, 2022. Xperi Holding Corporation is now known as Adeia. As a result, all full year comparisons will be to carve-out financials in the prior year. Second, today’s discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management’s current expectations and beliefs and therefore subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discussed today, please refer to the risk factors and MD&A section of our SEC filings, including our most recent Form 10-K and 10-Q. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Third, we refer to certain non-GAAP financial measures, which are detailed in the earnings release and accompanied by reconciliations to their most directly comparable GAAP measures, which can be found in the Investor Relations section of our website. Lastly, a replay of this conference call will be available on our website shortly after the conclusion of this call. With that, I would now like to turn the call over to Xperi’s CEO, Jon Kirchner.
Jon Kirchner: Thank you, Mike and thank you everyone for joining us on our fourth quarter and full year 2023 earnings call. We continue to make progress on both our strategic priorities and profitability during the quarter, while delivering solid financial results for the full year. I’ll let Robert walk you through the details in just a moment, but let me first touch on a few financial highlights. Revenue in the quarter was $137 million, up 1% from the prior year. Adjusted EBITDA was $13.4 million for the quarter or 10% of revenue compared to $3.6 million in the prior year quarter. In addition to improved profitability, we had strong operating cash flow of $21 million in the quarter and ended the year at breakeven for operating cash flow. These results represent a significant milestone for Xperi as we reached new quarterly highs for revenue, adjusted EBITDA and adjusted EBITDA margin. This demonstrates the progress of our business transformation efforts and positions us well for the future. Consistent with the strategy outlined at our separation in the fall of 2022 and despite some economic and geopolitical uncertainties, we are pleased to have delivered on our goal of mid single-digit revenue growth and improved profitability in 2023. Before we talk about our strategy in 2024, let me take a moment to address the recently completed sale of AutoSense and the related imaging business. For years, we’ve been pursuing an opportunity inside the automotive cabin that leverages our deep imaging expertise, specifically driver and occupant monitoring. Our belief was that the market would meaningfully developed by 2025 and present an attractive margin and growth opportunity for Xperi. While we have been very successful at winning new customers, there have been two important changes over the past 18 months that have impacted the long-term opportunity for this business within Xperi. First, due to the growing importance of these products is critical safety systems, our OEM partners increased their expectations for the scope of support they wanted us to provide. This has resulted in a significantly increased cost structure that was hard to justify for a business that is not core to our long-term strategy. Second, the increasingly competitive environment has negatively impacted pricing compared to our original projections. As a result, the timeline for achieving attractive returns on our investment in this business was pushed out beyond what we had anticipated. Given more attractive opportunities and independent media platforms and related entertainment technologies that are consistent with our long-term strategy, we decided to sell the business. After a thorough sales process that began last spring, we ultimately reached an agreement with Tobii AB, a publicly traded technology company based in Sweden with a long history of providing imaging technology solutions and a focused strategy in automotive safety. The proceeds from the transaction, which are a minimum of $43 million and up to $62 million, including earn-outs, were structured to be paid out over time to align Tobii’s payments to Xperi with some of the expected cash flow Tobii would generate from the business. As a result, the structure of the deal allows us to focus our attention and investment dollars on high growth, higher return entertainment solutions, while still participating in the future upside of the automotive safety market. Going forward, we are focused on three growth solutions where we see strong potential and differentiation. These are connected TV advertising, where we offer our TiVo operating system to power smart TVs and monetize ad-supported viewing, in-cabin entertainment, where DTS AutoStage combines broadcast radio, internet metadata, and video to enhance the automotive experience and drive long-term monetization, and TiVo video-over-broadband, where we offer an industry leading content first streaming platform for our customers, IPTV linear video households as well as broadband-only households. Each of these markets is growing rapidly and is expected to roughly double over the next 5 years. We continue to strengthen our position in each market and are increasingly well positioned to grow our revenue as these markets expand. We updated this slide to reflect the recent divestiture of AutoSense and provide an update on our progress through the end of 2023 with no change to our 3-year targets. By the end of 2025, our goal is to have a footprint of at least 7 million active TVs running our TiVo OS, 2.8 million video-over-broadband subscribers and 10 million cars with DTS AutoStage. If we achieve these targets, we’ll have 20 million monetizable endpoints with at least 10 million households and 10 million cars in which Xperi provides the core entertainment platform. Our progress in 2023 gives us increased confidence in our ability to achieve these targets exiting 2025. As we do so, we expect these three growth initiatives to generate over $310 million of revenue in 2026. Let me walk you through some of our recent achievements that reflect our progress. Within media platform, our TiVo OS value proposition continues to resonate with TV OEMs, which is underscored by our recently signed partnership with Skyworth, a top 10 global TV manufacturer to integrate TiVo OS into their 2024 TV lineup. This brings the total number of TV OEMs, integrating the TiVo operating system to 5, with 3 of these being top 10 global TV manufacturers. Vestel is currently shipping smart TVs powered by TiVo into 7 European countries, including the UK and Germany, with plans to continue expanding into additional countries throughout the balance of 2024 under more than a dozen brands such as JVC, Telefunken and Vestel. Additionally, Sharp and Argos, a leading UK consumer electronics retailer, expect to have smart TVs powered by TiVo in retail stores this spring across Europe and the UK, with Argos launching TVs powered by TiVo under their house brand, Bush. Overall, it was a great quarter of execution for an independent media platform strategy and for driving our long-term growth prospects. Our connected car business also saw continued positive momentum during the quarter. The highlight was BMW’s rapid deployment of DTS AutoStage video service powered by TiVo across select new cars in production and certain late model vehicles already on the road through an over-the-air update. BMW has also shared its intention to rollout AutoStage video service to their many brand new vehicles in the future. In addition, we were awarded 3 new AutoStage design wins in the quarter with major Asian and European automotive partners. Finally, when we reported Q4, 2022 a year ago, we shared an estimate of the total dollar value of committed revenue for the connected car business unit. At the end of 2023, even considering the AutoSense divestiture, we are pleased to report that the current level of committed connected car business grew over 10% to greater than $300 million. Within the Pay TV business, video-over-broadband or IPTV solution continues to make steady progress, generating $60 million in revenue in 2023. This is helping to offset the secular decline from our core Pay TV solutions, which continue to decline at expected rates consistent with the broader market. For the full year of 2023, overall Pay TV was down less than 2% supported by the strong growth in video-over-broadband. Turning to consumer electronics, we signed several important multi-year IMAX enhanced license agreements with major consumer electronics manufacturers, including Hisense and Xgimi. In addition, we executed a new DTS:X decoder agreement with a major U.S. retailer for their house brand of certain consumer electronics products. We also signed a major renewal with Masimo, a leading provider of audio equipment with brands such as Denon, Marantz, Definitive Technology and Polk Audio. With regard to Perceive, we continue our development efforts to deliver Perceive technology to a big tech partner for future commercialization, while also advancing our efforts on large language model compression. Recognizing the magnitude of the opportunity with large language models and the need for continued investment, we have initiated a process to explore strategic alternatives for Perceive with the help of Centerview Partners. We’ve accomplished a lot over the past year, but we recognize that we have more work to do. Before Robert walks you through our financial outlook for 2024, I want to provide a few business metrics we’ll be using to gauge our progress this year. Within media platform, we want to see TVs powered by TiVo on all five major European countries and in the U.S. market by year end. In addition, I am pushing the team to sign at least one new TV OEM this year. Our goal is to exit 2024 with 6 TV OEMs and an active TiVo OS footprint of 2 million sets. Within Pay TV, our goal is to deliver more than 10 additional TiVo broadband wins and exit 2024 with 2.4 million subscribers, up from the 1.9 million today. For connected car, I am challenging the business to deliver 3 additional AutoStage wins with at least 1 including video and exit 2024 with an installed base of 7 million vehicles. By delivering on these key growth initiatives, coupled with continued business transformation efforts, we expect improved profitability and cash flow in 2024. Further, we will be much better positioned to accelerate revenue growth and operating leverage in 2025 and beyond. With that, I will turn the call over to Robert to discuss our financials. Robert?
Robert Anderson: Thanks, Jon. I plan to cover two main areas during this call. First, I’ll go through the financial results for the quarter and the year, including commentary on certain items within the results. Second, I’ll provide financial guidance and commentary for fiscal 2024. Beginning with the quarter’s results, let me remind listeners that all comparisons in my comments are to the same quarter in the prior period. Total revenue for the fourth quarter was $137 million, up 1%. Pay TV, our largest revenue category was down less than 1%. During the quarter, we saw modest declines in our core Pay TV business, partially offset by strong growth in our video-over-broadband IPTV solutions. Consumer electronics was up 16% primarily due to growth in mobile solutions and a modest revenue contribution from Perceive. Connected car was up 17% primarily due to revenue recognized in connection with an AutoSense development milestone. Media platform is down 34% due to a decline in revenue relating to a prior year minimum guarantee contract for our smart TV middleware solutions as well as year-over-year declines and monetization from the writers and actor strikes that pushed fall premieres into 2024. For the full year 2023, revenue growth rates were in line with guidance previously provided with media platform growing the fastest, connected car growing low to mid-teens, consumer electronics growing low single-digits, and Pay TV modestly declining. Given the importance of our TiVo video-over-broadband offering as a growth vector for Xperi, we’re providing more detail within the Pay TV business for this annual view. Video-over-broadband grew by 38% over the past year to $60 million. This strong growth occurred in the prior year as well as video-over-broadband business more than doubled between 2021 and 2022 to $44 million. Core Pay TV products, including classic guides, discovery and consumer hardware and subscriptions, finished the year at $185 million, a decline of 10%, which is in line with industry trends. Our non-GAAP gross margin for the quarter was $105 million or 77%, an increase of approximately 350 basis points from last year. This improvement is due to a mix shift within consumer electronics toward higher margin products. Non-GAAP adjusted operating expense for the quarter was $98 million, down 6% from the prior year primarily due to cost optimization efforts. Our adjusted EBITDA was $13 million, resulting in an adjusted EBITDA margin of 10%. After accounting for tax and interest expense, our non-GAAP earnings per share was $0.11. Non-GAAP tax in the quarter was $2 million, which was lower than planned due to the one-time release of a valuation allowance in one of the company’s foreign subsidiaries. For the full year, adjusted EBITDA was $35 million or 7% of revenue and non-GAAP EPS was $0.01. The company ended the quarter with $154 million of cash and cash equivalents, including $12 million in cash classified as assets held for sale related to the AutoSense and imaging business sale to Tobii. It is important to highlight that our sale agreement with Tobii did not include the cash held within the legal entities being sold. Thus following the closing of the transaction at the end of January, the cash balance within the sold legal entities was returned to Xperi in mid-February. As Jon mentioned earlier, our cash flow from operations in the quarter was $21 million due to strong management of working capital, resulting in breakeven operating cash flow for the full year. Before we go through the outlook for 2024, I would like to take a moment and provide a pro forma revenue view of 2023 that accounts for the AutoSense relating imaging business divestiture. In the accompanying presentation, the top table shows our revenue by end market as reported. The bottom table shows pro forma numbers that removed the AutoSense and imaging revenue of approximately $29 million, specifically reducing the consumer electronics category by $20 million and the connected car category by $9 million. These adjustments create a baseline for 2023 revenue of $492 million, which we will use for relative comparison purposes as we post revenue numbers during 2024. Moving now to our outlook for the year, we are providing the following guidance ranges and commentary. We expect full year revenue to be in the range of $500 million to $530 million. At the midpoint, this represents approximately 4% growth over a normalized 2023. Because we expect the monetization of TiVo OS footprint to ramp in the second half of 2024, Q1 and Q2 of this year are expected to be relatively flat to 2023 with modest growth in Q3 and accelerating growth in Q4. Within the markets we serve, we expect continued growth in media platform, video-over-broadband and connected car. This growth is partially offset by expected declines in core Pay TV products and consumer electronics. In 2024, CE is expected to be negatively impacted by the timing of certain multiyear minimum guarantee renewals in prior years for which we were required to recognize the revenue upfront under ASC 606, but for which we generally collect cash over time. Let me note that we signed minimum guarantee arrangements each year, which create longer term commitments from our customers. Across our business contracts, categorized by point in time revenue recognition, which include minimum guarantee contracts, represent approximately 15% to 20% of total revenue each year. We expect non-GAAP adjusted EBITDA margin to be in the range of 12% to 14%, yielding approximately $67 million of adjusted EBITDA at the midpoint. The expected increase in adjusted EBITDA yield compared to 2023 is due to expanded gross margin from profitable revenue growth and cost reductions associated with our ongoing transformation initiatives. Let me provide a few other comments beyond these two main categories. We expect non-GAAP gross margins to be in the range of 75% to 77% depending on revenue mix, largely consistent with last year. We expect non-GAAP operating expense to decline in 2024 relative to 2023, with Q1 expense being somewhat higher than the other three quarters due in part to the timing of the AutoSense transaction. We expect operating cash flow for the year to be in the range of $20 million to $30 million, with Q1 being a usage of cash and the remaining quarters being a source of cash. We expect non-GAAP tax for the year to be approximately $20 million and we expect this expense category to be relatively linear for the year. Capital expense is expected to be approximately $20 million for the year. Going forward, the company is conforming to the treasury stock method for calculating share dilution. As a result, both GAAP and non-GAAP basic share count in 2024 is expected to average 46 million shares for the year and fully diluted share count is expected to average approximately 48 million for the year. Before we open the call for questions, I’d like to hand it back to Jon for a few additional comments. Jon?
Jon Kirchner: Thanks, Robert. We have covered a lot of material today and I thought it would be helpful if I summarized how I’ll be measuring our success as we move through 2024. At a high level, my expectations for Xperi are to continue the business transformation initiatives we began several years ago to streamline and optimize the organization, which will be measured by the significantly improved profitability and positive cash flow outlined in our ‘24 outlook. On a strategic level, as we drive the business units to deliver the specific key growth milestones outlined earlier in the call, we expect that to set us up for accelerated revenue growth and increased operating leverage in 2025 and beyond. Lastly, as you may know, a shareholder of the company has nominated directors to serve on our board. Given that we are here to discuss the quarter and our outlook for the business, we will not be taking questions on this call regarding the nominations or the annual meeting. With that, I’ll turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Jason Kreyer from Craig-Hallum. Please go ahead.
Jason Kreyer: Great. Thank you, guys. Jon, just maybe if you could start out can you level set or maybe reset what the process looks like on the TiVo broadband side like – so you are starting to strike these partnerships with broadband providers? What does that look like for the consumer? Is there an opt-in process or is there an opt-out process and what do you expect the timeline to look like for monetization there?
Jon Kirchner: Well, I think what you are going to see is you are going to see our subscribership grow by virtue of our effort to give our partners a service offering that can attract and retain broadband based customers with video-related offerings. So, this is an extension on what we have been doing more broadly in IPTV and we are pleased to have the recent announcements, but I – and I think we’ll continue to build momentum as there is quite a bit of interest. But I think it broadly fits under the heading of our continued growth within IPTV and that we have a – I think a strong offering for our partners in that space.
Jason Kreyer: And then maybe on the on the TV hardware side of things, you’ve been in market for several months now in Europe. I am just curious can you give us an update on what you are seeing or any specific consumer trends or feedback or how things are progressing there?
Jon Kirchner: I think the feedback has been good. I think that’s part of the reason. I think we are seeing not only additional partners within the program, but I think people aggressively moving to prepare their sets for distribution in the market. So, we know both distribution and production is ramping up. I think this is broadly consistent with what we kind of expected kind of towards the end of last year going into this year. So, I think it’s – I think we’ll have a lot more to say on the topic as we work our way through this year. But as we sit here now, I think the team continues to do an outstanding job at executing and the feedback has been good.
Jason Kreyer: Okay. And then lastly for me just on Perceive, can you give us an update on how we should think about how that fits into operating expenses today? Because I think that’s moved around a little bit from where we were a year ago. And so just with that going under a strategic review, does that change anything from last year and what that contributed to expenses?
Robert Anderson: Sure. This is Robert. I can take that one. For Perceive, we have several things that have occurred here. One, we have started to recognize revenue under Perceive beginning in the second half of last year and that will continue through this year. We have moderated our spend within Perceive to some extent. And then as we think about fiscal year ‘24 we are – we have announced that we are in a strategic process for Perceive. So I think you can expect we would be looking to conclude that during the middle of this year.
Jason Kreyer: Great. Thank you, guys.
Jon Kirchner: I think another way of putting it, Jason, is not likely to have a material impact on our expense load, think about it in terms of on a net basis in terms of low single digit millions.
Robert Anderson: Yes, I think that’s correct, low single-digits.
Jason Kreyer: Okay, got it. Thank you.
Operator: Your next question comes from the line of Hamed Khorsand from BWS Financial. Please go ahead.
Hamed Khorsand: Hi. So first off, I want to ask you about the goal you had set out for your team, Jon, related to TV, why one, is it becoming incrementally harder to secure the TV OS wins?
Jon Kirchner: No. Well, I think there is a universe right of people who don’t make their or don’t develop and license their own proprietary systems. And so within that universe there are certainly larger and smaller players. I think we obviously are engaged with a number of parties. But I think we have our eyes on, I think a subset that I think we had said a couple of years ago as we got to somewhere between 5 and 7, we felt very good that we could achieve our objective of at least 7 million units or more in terms of installed base. And so, I think we are very focused on achieving those core milestones. I think there is clearly upside there and I think we’ll continue to engage with partners. So that number ticks up over time. But as we sit here today, we’ve got some very specific plans to ensure we can deliver on the very milestones we set out previously and getting that last – that next one as part of that.
Hamed Khorsand: Okay. And then on the broadband – TiVo for broadband product, how does that change the scale of your TV revenue? Does that improve it at all to offset Pay TV at all anyway this year or this is more of a ‘25 event?
Jon Kirchner: No, I think it all contributes to growth within the broader Video-Over-Broadband/IPTV category. I think the other thing that’s important to recognize is there’s a fair amount of fixed infrastructure associated with running these services. And so as you see more incremental volume come into the network, you can deliver that at ever better incremental margin. And so we’ve spent a lot of time working to build the back-end to be able to be properly scaled where we see that real operating leverage. And I think this program, as we add more subscribers, simply contribute to that, and it will continue to bear out as we move our way towards our broader goals of at least 2.9 million subscribers within the platform.
Hamed Khorsand: Okay. And then the last question I had was regarding your TV monetization, why did the strike have an impact in Q4 and not the rest of the year as far as revenue is concerned?
Jon Kirchner: I don’t know that it would be fair to characterize that it didn’t have an impact prior there, too, but certainly, there oftentimes from a seasonality perspective, there are things that tend to happen in Q4 in entertainment that obviously the market was softer as people were shifting certain things into ‘24. And I think the good news is the entertainment market is showing signs of recovery. I think the broader market is still a bit soft as one thinks about the broader scatter market, but we think that too will improve over time.
Hamed Khorsand: Okay, thank you.
Operator: As we have no further questions in our queue at this time, I will now turn the call over to Jon Kirchner for brief closing remarks.
Jon Kirchner: Thanks, operator, and thanks, everyone, for joining today’s call. We’re excited about our continued strategic momentum and solid operating performance. I’d like to thank our employees, customers, and partners for helping us continue to achieve our objectives. We look forward to reviewing our Q1 results with you in May. Operator, this concludes today’s call.
Operator: This concludes today’s conference call. Thank you for your participation and you may now disconnect. Have a nice day, everyone.